Operator: Good morning, and welcome to the Newmont Mining Fourth Quarter and Full Year 2013 and 2014 Outlook Preliminary Operations Results Conference Call. All lines will be in listen-only mode until we open for questions and answers. Today’s conference is being recorded. If anyone has any objections, please disconnect at this time. I would now like to turn the call over to Kirsten Benefiel, Senior Director of Investor Relations. You may begin.
Kirsten Benefiel: Thank you, Melinda, and good morning, everyone. Welcome to Newmont’s Q4 and full year 2013 preliminary operations results and 2014 outlook conference call. With us in the room today are Gary Goldberg, President and CEO and Laurie Brlas, Executive Vice President and CFO. Turning to Slide 2. I’d like to refer you to our cautionary statement as we will be discussing forward-looking information, which is subject to a number of risks, as further described in our SEC filings, which can be found on our website at newmont.com. I will now turn the call over to Gary.
Gary Goldberg: Thanks Kirsten and thanks to our callers for joining us this morning. Please join me in welcoming Kirsten Benefiel to her new role as Head of Investor Relations for Newmont and I hope you find her as valuable research as we do. Today, we will present our strong production and sales results for the fourth quarter and full year of 2013 and giving some insight into our cost expectations for the period. I also want to update you on Indonesia and how we are managing our business in a shifting regulatory environment. Finally, Laurie will discuss our 2014 outlook and what we are doing to sustain steady production and solid cost and capital discipline in the year ahead. We will discuss full year 2013 results with you on February 21. So please join us then for more specifics. Turning to Slide 3. I will begin with a look at our safety performance for 2013. Safety is our most important value at Newmont and we delivered our lowest injury rates in company history this year. In Newmont terms, our total injury rates of 0.47 injuries per 200,000 hours worked translates to 176 fewer injuries than in 2012. We are proud of reaching a new record, but we will not be satisfied until we eliminate all workplace injuries and illnesses. Our ultimate goal is to send our people home safely every day and we believe our safety performance is strongly linked to our overall performance. Continuous improvement is the way of life at Newmont and we are delivering on that commitment across the business. Turning to Slide 4. Our strategy is to optimize cost and efficiency at each of our operations to build the stronger portfolio of gold and copper assets and to leverage our social and technical expertise for competitive advantage. Newmont has been a successful business for nearly a century and we are confident this strategy will position the business to thrive for another 100 years. We adopted our refresh strategy last year and our results show that we are translating our words into actions. First we have shifted our focus from volume to value. We’re known as the leading gold business but we also have significant experience and expertise in copper and a solid asset base in our Phoenix, Boddington and Batu Hijau operations. The type of commodity however is not as important as the value we can drive from it. We prioritize opportunities based on four criteria and we will pursue those that one create value, two, increase the portfolio mine lines, three, lower our position on the cost curve and four that represent technical and social-political risk that we understand and are confident we can manage. These priorities are reflected in the capital projects we delivered in 2013. We brought our Akyem gold production in Ghana and Phoenix Copper Leach in Nevada into full commercial production in the fourth quarter delivering both project safely, on time and on budget. We also invested in our Turf Vent Shaft in Nevada which will improve value, mine life and production. Shaft sinking began earlier this month. Our priorities are also reflected in our cost performance. Third quarter year-to-date results demonstrate that we’re sustainably improving cost and efficiency across the business. Through the third quarter we reduced our 2013 consolidated spending by $700 million or $13 from 2012 and we have solid programs in place to continue that trajectory. Our Tanami operation in Australia is a great example of our ability to achieve a step change in performance by focusing on value. This was a marginally profitable operation in 2012 but as a result of improved haulage efficiency and our great modeling our team turned it into one of our best performance improvements of the year. Finally we divested assets that no longer fit our strategy. We will generate more than $600 million by selling our interest in Canadian Oil Sands and divesting our Midas operation in Nevada. Sharpening our focus on efficiency improvements also helped us meet the high end of regional [ph] production outlook. Turning to slide 5, our operations delivered solid fourth quarter production helping us achieve the high end of our 2013 outlook. Gold sales and production of roughly 5.1 million ounces fell right at the high end of our outlook. In Nevada our team overcame first quarter shortfalls to produce more than 1.7 million ounces of gold in 2013. In Mexico La Herradura operations performed below expectations due to the ongoing suspension of explosives permits. Our partner Fresnillo is working to resolve this issue. Moving south our Tanami and Waihi operations which we included under the other Australia and New Zealand category exceeded expectations this year thanks to improved productivity and grades. As expected South America production was down by approximately 20% over the prior year. Nevertheless our team in Peru still ended the year at the high end of guidance. In Ghana the team as a team produced a 129,000 ounces of gold in it's first quarter of operations exceeding our expectations of 50 to 100,000 ounces. We also delivered strong performance at Ahafo in the fourth quarter achieving our full year guidance. Copper production of 144 million pounds also sell at the high end of our revised outlook. Total copper sales were 148 million pounds for the year. We built capital production capacity in 2013 with a construction of our new Phoenix solvent extraction-electrowinning in Nevada which produces copper cathodes. We expect these asset to contribute to total copper production in 2014 which Laurie will outline later in today’s call. We’re also shifting to reporting copper production and sales in metric tons to better align with copper industry reporting. Our Indonesia operations continued to progress Phase 6 mining to get us back into higher grade ore later this year despite of challenging political situation. Turning to slide 6, we have been engaging in dialogue with Indonesian government officials on the progressive export tax they recently introduced. Well proposed regulations postpone an outright ban of copper concentrate exports until January of 2017 they also pose restrictive export permitting conditions as well as significant and escalating tax increases. We understand the government's aspiration to derive the most value possible from their natural resources, but we believe these proposed regulations will have the opposite effect. Right now, more than 95% of the value of the copper that we mine is realized in countries through our mining and processing operations. These operations support 9,000 jobs and contribute $10 million a year to programs that sustain local communities. As we seek further clarity on these new regulations, we must also evaluate potential impacts to our operating plans at Batu Hijau and consider other remedies including possible legal actions. Our current Contract of Work establishes our right to export the copper concentrate we have produced at Batu Hijau and establishes all the taxes and duties we are required to pay. While our preference is to seek a mutually acceptable solution, we have a responsibility to protect our rights. It is our preference to avoid arbitration while ensuring continued respect for the Contract of Work. Turning to our operations, we do not have plans to export copper concentrate until later this quarter since we have completed shipments in early January. We have been keeping our employees, unions, communities and other stakeholders informed every step of the way and want to acknowledge that the support they have shown us during this time of uncertainty. To wrap up on Indonesia, the sale of the final 7% ownership stake remains open. I will now turn the call over to Laurie to discuss the fourth quarter and our 2014 outlook.
Laurie Brlas: Thanks, Gary and thanks to everyone for joining us this morning. Moving to Slide 7, given the reductions in gold price we have all seen throughout 2013, we have reviewed and revised our long-term pricing assumptions. For all asset impairment testing, we reduced the price assumption from $1,400 to $1,300 per ounce. Consistent with that, gold reserve pricing has been reduced from $1,400 per ounce to $1,300 per ounce and resource pricing has been reduced from $1,500 to $1,400 per ounce. We are currently engaged in all of our normal year-end closed processes, including our regularly scheduled accounting impairment reviews. Given the change in pricing assumptions, this could result in non-cash impairment changes against book values to certain development assets, such as Long Canyon. Final outcomes on potential asset impairments as well as our updated reserves and resources will be reported in the company’s 10-K, which we expect to file with the SEC on February 20. In addition, stockpile and ore on leach pad values are being adjusted to reflect the reductions to long-term pricing assumptions as we do each quarter. This adjustment to cash is expected to be approximately $350 million to $400 million for the fourth quarter. While this does affect our per ounce and per pound cost on our financial statement, it is not reflective of the operational performance our team delivered this year. As it is non-cash, it also does not affect our cash flow. We still expect to fall within our gold CAS guidance, inclusive of write-down of $750 to $825 for the year, more evidence of our strong operating performance. Our focus on value is evident in our production outlook for 2014, which we show on Slide 8. But before getting into the details of the outlook, I want to point out that we are making some changes for 2014 in how we guide and ultimately how we will report our results. The changes are intended to simplify the information by increasing consistency and also improving transparency. The first change is to report production volume on a consolidated basis to match our financial reporting. So the consolidated production numbers will get into our revenue and CAS number as is. If you want the value attributable to Newmont, you would need to adjust the minority interest for the two operations where that’s applicable. We own just over 51% of Yanacocha. The other one is Batu Hijau, we are assuming the additional 7% is divested will have an approximately 45% interest there. In addition, we will be guiding to copper production in metric tons rather than tons as Gary indicated. Our 2014 gold production outlook remains essentially in line with 2013 as you can see. Copper production is expected to increase as Batu Hijau ramps up. We expect 5 million to 5.3 million ounces of consolidated gold production and 160,000 to 175,000 tons of consolidated copper production in 2014. In response to questions and request we’re also providing greater transparency in two of our regions. With the 2014 outlook you will see significantly more detail within Nevada and what we have described as other Australia and New Zealand. That detail is in the press release and the context of this presentation. Our goal is to provide you with greater visibility and insight into these operations which we believe will highlight the value each asset contributes to our portfolio. Our Nevada operations included three segments, Carlin, Twin Creeks and Phoenix. Smaller operations such as Lone Tree have been grouped within these based on the way they are managed. As part of this change Phoenix copper production will be reported separately going forward giving better insight into our total copper portfolio. This includes copper concentrates and copper cathode production. As you can see in our detailed outlook table we are expecting Phoenix to contribute 15,000 to 25,000 tons of copper at a cost of $2.25 to $2.50 per pound in 2014. Similar to Nevada we have broken our other Australia and New Zealand region into additional segments which include Boddington, KCGM, Tanami, Jundee and Waihi. The total Australia and New Zealand region is expected to deliver 1.6 million to 1.7 million ounces of consolidated gold production this year. Moving on to cost on slide 9, our cost applicable to sales outlook for 2014 demonstrates our focus on controlling what we can control in our business. Our outlook of $740 to $790 a cost per ounce fall 3% below the midpoint of our 2013 guidance level. Improvements at our Australia and New Zealand operations and Waihi zone [ph] are the primary drivers of the overall improvement. The Australia and New Zealand region, CAS is expected to decrease by approximately 15% this year through operating efficiencies and our cost at Batu are expected to decrease significantly in the second half of the year as we complete the Phase 6 stripping campaign. North America operations are anticipated to deliver lower production and higher CAS per ounce in 2014 due to processing lower grade material from stockpiles. Over the next two years Twin Creeks, Carlin and Emigrant [ph] will undergo planned stripping campaign. A half of it will be down in production in 2014 due to lower grader and higher stripping ratio. Turning to our all-in sustaining cost on slide 10. We’re pleased to see that our improvement efforts are also evident in our all-in sustaining cost guidance. All-in sustaining cost for 2014 is a bit lower than prior year of $1075 to $1117 per ounce, a $25 per ounce reduction. We also have increased visibility into our portfolio by reporting all-in sustaining cost on a regional basis versus only at company basis last year. This reduction includes reducing our overhead spending for the year by approximately 20%. Overhead spending includes G&A other expenses, exploration, advance project and R&D. Moving on to slide 11, our 2014 outlook for capital spending has been reduced by about 40% giving some expectation of $1.3 billion to $1.4 billion in consolidated capital spending. This amount is allocated primarily to sustaining capital as focus on expenses that extend asset life and reduce cost and defer development of new projects in the short term. We’re doing this with compromising any future growth prospects. We will continue to develop the Turf Vent Shaft project in Nevada which will strengthen the portfolio beginning in 2015. This project will provide an additional 100,000 to 150,000 ounces of gold over an 11 year mine life. I covered a lot of detail on that outlook but it was designed to give you more insight into our business and really see the operating improvements we’re making. And now I will turn the call back over to Gary.
Gary Goldberg: Thanks Laurie. Turning to slide 12 and summing it all up, we achieved our operational goals in 2013 through hard work, better safety and technical practice and a shared commitment to improve cost and efficiencies. Our team’s efforts will continue in 2014 as we focus on delivering value. Our immediate priority is to live within our means without harvesting our assets or sacrificing our growth prospects. Discipline will continue to be the watchword for capital allocation and we will prioritize opportunities that add value, improve mine life and costs and reduced our risk profile. We are confident in our ability to deliver on these commitments and hope that the greater transparency we provide on our individual operations will help you track our performance better. While market conditions remain challenging, the future is bright for Newmont and we look forward to discussing more about our performance on February 21. Thank you for listening. I will ask the operator to open the floor to questions now. Operator?
Operator: Thank you. (Operator Instructions) Our first question comes from John Bridges, JPMorgan.
John Bridges - JPMorgan: Good morning, Gary, Laurie. I just want to dig a bit deeper into the Indonesian situation. We hear that Freeport is paying a higher tax rate than the current one and feels that’s sort of quick permit (indiscernible), just wondered if you were in that situation? And then what would the legal options be? Is there an arbitration arrangement to work into the account?
Gary Goldberg: Yes, thanks John. I think first of all in regards to Freeport, we both have our own contract of works fairly long-dated, ours is over 20 years. I think Freeport is out closer to 30 years that they have been operating under and that does have potentially different tax terms and that across all the details on theirs. But what’s been proposed is intended to at least from this standpoint or my standpoint to really target both of us in a similar manner in terms of additional potential taxes. So I know Freeport, Richard Adkerson has been in discussions with the Indonesian government officials as have I and we continue to work through that with our teams on the ground and with the government officials in Indonesia to get better clarity on that. In regards to arbitration, there are procedures within our Contract of Work that allow us to take a dispute to resolution through a process. At this stage, we are hopeful that we can have the discussions on the ground to get clarity about what’s intended and how we are able to continue to run our operations, export concentrate and not be liable to these taxes. And while I am hopeful, we can find a solution. We have made the preparations in case we do need to fallback to arbitration.
John Bridges - JPMorgan: Okay. And then just as a follow-up, you broke down you’re on a sustaining cost level, but we are thinking that might come back further we have seen from these larger pullbacks and some other sustaining costs. I just wonder if there is anything particular, which was holding them back or if you have the expectations of further cuts in future years?
Gary Goldberg: Thanks John. We continue to go through with our full potential program through the business and we have made it through quite a bit of the business. We still have more of the business to go through. Batu Hijau was actually one of the areas that we are going to be going through later this year in terms of looking to drive further cost reductions. Likewise I would see that at Ahafo in Africa that we are working through. So we still have more to go and we want to make sure we can deliver what we have put into the plan here, but we are not done looking for areas and opportunities to further reduce cost. I think the other piece while the majority of the capital there is sustaining and it’s down quite a bit from prior years, we are not trying to build ourselves into a hole that you are going to see a cliff or actually a ski jump might be the better term in terms of capital spend in a couple of years. We are doing this in a sustainable way.
Laurie Brlas: Yes, that’s right Gary. We haven’t cut sustaining capital really essentially from last year and although $25 per ounce doesn’t sound like a lot on 5 million ounces, that’s really $125 million, so that’s not something that happens just easily.
John Bridges - JPMorgan: Okay. And of course the emerging market currencies have been coming off is there any benefit in this number coming from that and as your currency hedge book runs off do you expect to see more of a benefit, automatic benefit coming from there?
Laurie Brlas: Yes, there is a little bit of benefit from that, but it’s not going to be material in the whole scheme of our numbers.
Operator: Next question from Patrick Chidley, HSBC.
Patrick Chidley - HSBC: Just a question following up on John there on the Australian dollar, what Australian dollar spot exchange rate for average for this year? Are you assuming these numbers and also what diesel price would you be assuming or at least oil price?
Gary Goldberg: What we used in our planning assumption this year was $0.95 on the Aussie dollar, we expect as you can see where it's at we’re right around $0.875, $0.88 today so we get and I’m just looking at our treasure to exact the percentages for 2014 in terms of how much would be tied back to a hedge but about 20% of it's tied back to our hedge which would price probably about $0.97 but the rest would be at market going forward.
Patrick Chidley - HSBC: Okay and then oil price?
Gary Goldberg: Oil price we assumed $100 plus taxes intermediate.
Patrick Chidley - HSBC: And just a final question just more of a request whether and thanks for providing additional detail on the Australian assets there but I was wondering if you could maybe provide us with a bit more detail on stockpiles maybe you can get together some information and send it out because just on how big the stockpiles are, how much they are and given that last couple of quarters you’ve been writing some down I would like to be able to determine what the reaction might be going forward and related to that also some more detail on life of mine strip ratios and grade profiles would be very useful as well.
Laurie Brlas: You will definitely see more detail on that the 10-K and we can look at incorporating that into some user friendly ways as well to give you that information.
Patrick Chidley - HSBC: Just one more if you don’t mind just on Ahafo and the production coming off in 2014. Is that going back down to a more sustainable rates versus 2013 or is it a year of sort of one-off?
Gary Goldberg: It's probably a two year period of reduced grade and also increased stripping at the Subika pit as we work through and we have been doing some work I mentioned the full potential as part of the work we’re doing there is relooking at our mine plans and what we can do to resequence and actually get better balance between the grade and ounces coming out in the strip ratio.
Operator: Next question from Brian MacArthur of UBS. Your line is open.
Brian MacArthur - UBS Securities: I hate to go back to Indonesia but can you just remind me and this is not so much in the Indonesia side but how does contract with Gresik with work? Do you actually because of, you haven't been shipping as much there recently but you have ramped backed in past Batu Hijau. Do you get priority for a certain amount the smelters they have to cut back, or how does that actually work?
Gary Goldberg: We contract for a certain volume Gresik each year and the balance it's really between us and Freeport’s. In fact when Freeport had some issues we were probably a 100% Gresik feed [ph] for a while there. So this year I believe we are looking at a total of about 200,000 tons of concentrate and keep in mind our concentrate by in 30% little bit below 30% copper in concentrate range so that’s how much we’re planning to ship. We actually are still looking to be shipping concentrates here in the first quarter to Gresik.
Brian MacArthur - UBS Securities: Right so if everything went bad and you actually had to they had to shut down and everything, you still haven't now left with that fixed amount concentrate you won't get squeezed?
Gary Goldberg: I think we would get squeezed because Gresik can’t take all of the concentrate from our combined operation so there is a period of time that didn’t work but you can’t around that 30% or 40% of production just to Gresik and not mine anymore, it severely hurts the economics. So that’s why the points were taking back to the Indonesia government, are clarifying this information that we really do need that better clarity of what their expectations are and get a timeframe to address things appropriately.
Brian MacArthur - UBS Securities: Great. Thanks very much, that helps a lot just getting a color on that.
Gary Goldberg: You bet and we will keep people apprised obviously this is an active situation.
Operator: Next question from Jorge Beristain of Deutsche Bank.
Jorge Beristain - Deutsche Bank: Hi, Gary and Laurie. My question is just more of a big picture one, I mean, rough numbers you have given us an AISC guidance, which would seem to indicate about $100 per ounce of headroom, which would roughly be consumed by your $20 an ounce in growth CapEx and $70 an ounce of interest expense and I am assuming no taxes. So my big picture question is you do seem to be at a steady state for your living within your meetings in 2014, but you are entering the year with a very high net debt to EBITDA and with credit agency, such as Moody’s looking at using an $1,100 per ounce gold price, your metrics would be around four times net debt to EBITDA on a 2014 outlook. So I am just wondering big picture, how you would intend to fund any future growth CapEx even if it occurred in 2015 or ‘16 against the kind of backdrop that you seem to already be kind of balance sheet constrained? And secondly, how important is the sort of $300 annual dividend commitment at $1,200 an ounce on your formula in terms of keeping that in the context of again being kind of balance sheet constrained and already high on your credit ratios going into 2014?
Gary Goldberg: Great question, Jorge. I think a couple of things and we will come back with details on our dividend and dividend policy plans on our February call. So we will give detail on that, but that clearly sets us one of the items that we are taking a look at as we really focus on free cash flow from the business and how we allocate it. When you look at growth CapEx, I’d still come back to the point as we look at anything whether it’s an internal project or a potential M&A, we have to make sure that it’s going to deliver value, add the mine life, fit in a lower part of the cost curve and help us move down the portfolio and also have social political and technical risks that we manage. So have to have that before we go out to go spend something and you look at where we are at today, I think you would be looking in this market, you would have to be convincing shareholders that issuing more shares would be the way to grow the business at this point in time. I would ask Laurie if she has got anything she wants to add?
Laurie Brlas: Yes, you said it exactly right, Gary and that’s – that means a high hurdle, a high return expectation that we have got to meet all the criteria that Gary said and be comfortable that our shareholders would agree that it was a smart move.
Jorge Beristain - Deutsche Bank: Okay. Well, I guess that answers that question. And in terms of it’s just so we can be clear in Indonesia, Freeport has kind of commented that they are able to act well currently still able to export about 40% of their processed ore, but you are saying that, that would not be an option for Newmont just because the economics of running the mine at below 50% just don’t make sense?
Gary Goldberg: Yes. I can’t speak for Freeport’s details, but on our standpoint, we don’t have an export license from the government right now and you have seen in the press, where the government hasn’t issued any export licenses. So just take that as a data point. So right now unless we get an export license that allows us to export, we are in a position in the next couple of months to look if we aren’t able to reach agreement to act the curtail operations. We are still in the lower grade part of the ore body, so we are not producing as much concentrate now, so now is the time to get this issue resolved for us.
Jorge Beristain - Deutsche Bank: Great. And so if I can just have a technical follow-up maybe for Laurie in terms of consolidation of Batu Hijau, when you slip below the 50% ownership, would you still intend to majority or 100% consolidate that asset or would that trigger a deconsolidation in your view?
Laurie Brlas: No, we would still consolidate, that should be my expectation.
Jorge Beristain - Deutsche Bank: Thanks.
Gary Goldberg: Thanks, Jorge.
Operator: Question from Adam Graf, Cowen & Company.
Adam Graf - Cowen & Company: Thank you. Thank you, Gary and Laurie for taking my question. First, just in regards to this new transparency in Nevada, I see in the – in some of the notes what you guys are including in Phoenix and Twin Creeks, am I to assume that under Carlin, you are also lumping in Emigrant and all of the Carlin underground operations and also the stockpiles?
Gary Goldberg: That’s correct. Emigrant, the underground both the ones that are under the existing open pits that we have extended and then legal peripheral part of Carlin.
Adam Graf - Cowen & Company: And so when you guys report your operating statistics, will you be giving a breakdown of all your operating statistics still based on these effectively three Nevada categories?
Laurie Brlas: Yes. We will not take it to that deeper level, because that’s just not practical in how we manage it and you get into crazy accounting allocations that wouldn’t give you meaningful information. So we felt that at this level we’re giving you meaningful data about how the operations are managed.
Adam Graf - Cowen & Company: And will you be giving us some supplementary information so we can catch up on a historic basis?
Laurie Brlas: Yeah so as we go through the year that will definitely when we file our Qs we have to be comparable so you will have it all in there.
Adam Graf - Cowen & Company: And on a different subject just returning back to Ahafo since you guys don’t seem to be spending significant amounts of money in there in 2014 will it still be possible for Ahafo to meet the schedule of the mill expansion by 2018.
Gary Goldberg: Where we are at with the mill expansion and the underground expansion which are really the two primary projects around Ahafo, there is still Ahafo north out there. We have slowed the development capital work at this stage working through making sure that we can deliver what we should deliver from the mine and given market conditions when is the right time to bring either an expansion of production or the development of the underground. Say today I would see the order of that being the underground versus the mill expansion based on the economics I’ve seen lately but right now we have no plans this year to move forward with those two projects in 2014 it's still something we’re assessing.
Adam Graf - Cowen & Company: And then just one final question on Marian, if you guys were to get the full go ahead on that would you also delay any capital spend there until 2015 or beyond?
Gary Goldberg: Marian is one and we have worked or a long time to work with the government and get approvals and we have actually reached a pretty good milestone here late last year where we received these approvals. We’re continuing to look at the project much like we have across the whole organization, what can we do in terms of capital cost differently, what can we do to get operating cost down and reassess that project. So it's something we’re currently talking about and looking at where the economics fit and then how things fit from a partner standpoint as well and working through some of those complexities so you should have maybe a little bit more information on our next call as to where that stands.
Operator: Next question is from Andrew Quail, Goldman Sachs.
Andrew Quail - Goldman Sachs: Just a couple of question one on Akyem, just by doing the numbers in guidance for 2014 on a CapEx sustaining CapEx basis. It looks like $40 an ounce sort of mid-range, can you guys give me guidance on sort of the first five years and all-in sustaining cost sort of 750 to 850 do you see I mean is that going to rapidly increase in sort of ’15 or is that sort of gradually increasing over the next sort of five years?
Gary Goldberg: In Akyem because we basically have new kit and a new plant in place for the next 2 to 3 years at least you see fairly flat sustained capital cost which would be in-line that you’re seeing here for ’14. I don’t recall and we would get into this similar target [ph] in terms longer term things when (indiscernible) comes but I think we’re in pretty good shape for the next at least 5 or 6 years.
Andrew Quail - Goldman Sachs: And just wanted to touch back on Nevada, like obviously like if you look at the trend it's obviously coming down. Is this right sort of for 2014 something that reconstructive [ph] model for the next few years or is it obviously going to be a bit more lumpy?
Gary Goldberg: I think part of Nevada and it will come out once we talk longer term but in ’14 we’re down a bit and you look at Twin Creeks part of it's we’re at with grade in the mining profile at Twin where we see that down for a couple of years and picking up in say a year three and out a little bit so. I still think a number in this range up to 2 million over the next couple of years is the right range to be thinking of Nevada and overall.
Operator: Next question is from Brian Yu of Citi.
Brian Yu – Citi: First question is just a clarification on the cost guidance for Nevada in 2014. I assume that you’ve stripped out the Phoenix copper concentrates that was bringing down cost in ’13 and I’m backing into a number of somewhere around $22 to $23 per ounce, does that sound about right?
Laurie Brlas: Yes, I think that’s about right.
Brian Yu – Citi: Okay. And then just on the stockpile revaluations and the target you are taking in 4Q, would you little bit talk about how much of that is for a stuff that’s already in process and will result in gold production and presumably that lowers some of your cost going forward and how much of that is write-off of product that you are just not going to process?
Laurie Brlas: I mean, I’d say it’s more of revaluing it, because when this went on to the stockpiles we were at a higher gold price that we brought the gold price down. There is a little bit of other noise around it, but that’s the primary issue.
Brian Yu – Citi: Okay. So there is going to implied in here a net benefit to 2014 cost, because you are writing it down in 2013, is that….
Laurie Brlas: If we are processing some stockpiles in those particular locations, where that came from yes, but a lot of our production isn’t from stockpiles and it may be from different locations. So when we give our actual final year end results that we will attribute to what exact locations and we can give a more definitive answer on that.
Brian Yu – Citi: Got it. (Indiscernible) I got is just on Indonesia, my understanding is that any kind of discussions so far about export taxes only applies to copper and that your gold revenues would be unaffected, is that correct in terms of your understanding a bit too?
Gary Goldberg: At this stage, we are still trying to understand what it applies to in the discussions. Quite frankly, we have taken the position, it doesn’t apply to our concentrate because of the terms we have under our Contract of Work, but that is part of the confusion that is out there.
Brian Yu – Citi: Okay, great. Thank you.
Operator: Next question is from Paretosh Misra from Morgan Stanley.
Paretosh Misra - Morgan Stanley: Hi everyone. I am sorry for going back to Indonesia, but I believe you have signed some agreements or maybe even contracts with some companies that are planning to build smelters, is there any commitment required from you, for example, capital or maybe some minimum treatment and refining charges?
Gary Goldberg: What those – Paretosh, thanks for the question, because it’s good we clarify. We have signed two different agreements with parties that have expressed an interest in building a smelter. We have basically signed contracts with them to commit to supply concentrate and that supply would be done on commercial terms rather than any special terms. And at this stage, it doesn’t require us to invest.
Paretosh Misra - Morgan Stanley: Got it. And just lastly given that this is an election year in the country, do you know if the current government’s view is shared by other political parties?
Gary Goldberg: Well, we have asked questions. It’s difficult at this stage, because they are still working through as to who the front liners will be in the different parties, but it’s clearly a sensitive issue with the fact that there is a lot of pride and wanting to maintain value in country, we understand that. And I think a big part of our effort has been trying to clear up this perception that a lot of value is being exported. The majority of the value, 95%, is captured in country and I think it’s giving that out and making sure we actually don’t become an election year issue.
Paretosh Misra - Morgan Stanley: Thanks Gary and good luck with everything.
Gary Goldberg: Thanks Paretosh.
Operator: Next question is from Tanya Jakusconek from Scotiabank.
Tanya Jakusconek - Scotiabank: Great, thank you very much. Good morning everyone. Just a couple of questions. First, I will start on the technical side, maybe Gary just coming back to Nevada, I know you mentioned 1.6 million ounce range to 2 million ounces is sort of where you see Nevada over the next couple of years. I understand when Long Canyon comes in, that’s another 200,000 ounces. So I can see 1.6 million going to 1.8 million ounces, but where are we getting the additional 0.2 million from, just so I can understand?
Gary Goldberg: Yes. When you take a look at the breakdown, it’s really coming from Twin and the swing engraved a little bit. So that’s one area. And also in Leeville/Turf as we get higher grades as we finish the Vent Shaft off next year.
Tanya Jakusconek - Scotiabank: Okay. And going towards that 10 million ounce range, would that be something towards the 2018 timeframe?
Gary Goldberg: I think it was ‘18 or ‘17 just in the numbers. ‘17 is when we would be seeing it, so…
Tanya Jakusconek - Scotiabank: Okay. And then just my other technical question is coming back to Batu Hijau, I understand that we have still got the pre-strip doing – continuing this year were back into the higher grade at the end of the year as we go into 2015. Is it reasonable to assume that 2015 would be something similar to what we had in 2011 before we have this whole prestrip phase to do?
Gary Goldberg: I will have to get back to you on that because I’m not familiar what we did in 2011. So I will just have to look so I can’t even give you a direction. Grade wise I don’t have a flavor what the grades were then versus what they are going to be, production volume should be similar in terms of ore tons but I just don’t know how the grades compare. So I will have to get back on that.
Tanya Jakusconek - Scotiabank:
Laurie Brlas: No this year because of the impairments you’ve a net loss but you can’t really see what the underlying tax rate. Our statutory rate is 38% so we’re actually coming off of that 38% but the variety is of mixes of international rates and in the changes in some of those agreements describe that change year-over-year.
Tanya Jakusconek - Scotiabank: Okay so with 35% be something reasonable for the company you know as we go into next couple of years?
Laurie Brlas: Yeah I think that’s reasonable. We will be shooting for that or better.
Operator: The last question is from Carly Mattson of Goldman Sachs.
Carly Mattson - Goldman Sachs: Just a quick follow-up on the balance sheet questions from earlier if we all-in sustaining cost guidance for 2014 being start with Moody’s updated pricing methodology [ph] for their base case and well above what their worst case scenario is? Can you talk to any discussions you’ve had with rating agency and then outline what measures you would be willing to take to defend it's investment grade ratings specifically that we have seen equity ratings from other metals and mining peers that have shown a strong commitment to investment grade ratings. So is this something that you might would be willing to consider?
Laurie Brlas:
Gary Goldberg: What we have used for planning prices for the next three years the guide even though we’re using $1300 for reserve, we use the $1200 gold’s price for planning purposes for the next three years and we have also had the team take a look at what other changes they might make in sustaining capital. Should we see prices go to $1100 or potentially lower than that, of course you would also take a look at exploration spend and advance project spend and also take another look at overheads if we, we saw it drop below the $1200 in a sustained way. So we have got other plans built in and ready to go if that’s what’s required but we believe where we’re setting out, put this in a good position at the $1200 price.
Laurie Brlas: We continue to look at the assets we have that’s a possibility as Gary said we have generated, we’re generating over $600 million in asset sales. All those things go into the mix as we look at what we might do.
Carly Mattson - Goldman Sachs: So no comment on potential equity whether the company would consider doing acquisition?
Laurie Brlas: It's something that’s obviously a Board decision, it's something that could be considered. I think we consider ourselves fortunate that that has not been necessary to-date but I’m certainly not going to completely rule it out.
Gary Goldberg: Yeah there is no plans for that and when I mentioned equity before that was really looking for value adding growth projects either in company ones that we have or potential acquisitions but at this stage there is no plan.
Laurie Brlas: So no additional debts or those types of things definitely what Gary is saying.
Gary Goldberg: Correct. Okay. Thank you everyone for joining. I’m really pleased with 2013 performance. We had solid safety improvement. We have delivered on our cost commitments and we really have the organization focused on value and delivering profitable ounces and plenty [ph] of copper. I look forward to sharing our 2013 performance next month. Have a safe day and as they say around here Go Broncos. Thank you.
Operator: Thank you for attending today’s presentation. You may disconnect from the phone lines at this time.